Operator: Ladies and gentlemen, good morning and welcome to the Analyst Conference Call on the Third Quarter 2024 Results of Ahold Delhaize. Please note that this call is being webcast and recorded. Please note that in today's call forward-looking statements may be made. All statements other than statements of historical facts may be forward-looking statements. Such statements may involve known and unknown risks and uncertainties that could cause actual results, performance or events to differ materially from those included in the statements. Such risks and uncertainties are discussed in the interim report third quarter 2024 and also in Ahold Delhaize's public filings and other disclosures. Ahold Delhaize's disclosures are available on aholddelhaize.com. Forward-looking statements reflect the current views of Ahold Delhaize's management and assumptions based on information currently available to Ahold Delhaize management. Forward-looking statements speak only as of the date they are made and Ahold Delhaize does not assume any obligation to update such statements except as required by law. The introduction will be followed by a Q&A session. Any views expressed by those asking questions are not necessarily the views of Ahold Delhaize. At this time, I would like to hand the call over to JP O'Meara, Senior Vice President, Head of Investor Relations. Please go ahead JP.
JP O'Meara : Thank you very much, Sharon, and good morning everyone from Zaandam. I'm delighted to welcome you to our Q3 2024 results conference call. On today's call are Frans Muller, our President and CEO; Jolanda Poots-Bijl, our CFO. After a brief presentation, we will open the call for questions. And as usual, if you can hold the questions to two today that would be great. In case, you haven't seen it, the earnings release and the accompanying presentation slides can be accessed through the Investors section of our website aholddelhaize.com, which also provides extra disclosures and details for your convenience. To ensure ease of speaking, all growth rates mentioned in today's prepared remarks will be at constant exchange rates unless otherwise stated. And with that, I'll hand the call over to Frans.
Frans Muller: Thank you very much, JP, and good morning everyone. I'm pleased to report that our performance has continued to be solid and consistent in the third quarter. In a dynamic market environment, the quality of execution is extremely important. And as I reflect on where we are with our business, I'm encouraged by the opportunities we are creating for future growth, while at the same time staying focused and not taking anything for granted. Maintaining deep and close relationships with our customers is at the heart of our approach with more than 7,700 stores, 16 great local brands, 400,000 people, our track record of customer centricity, innovation, reliability, community and connection has yielded strong number one and number two positions in the nine countries we operate in. On that note, I would like to thank all of our associates for their dedication and commitment to serving their local customers and communities particularly in times of need. The devastating floods in the Czech Republic wildfires in Greece and the disruption and destruction caused by Hurricane Debby and Helene in the Southeastern U.S. had a tremendous impact on the affected communities And also in communities, where we source products like we saw in the Valencia region last week, these events are now becoming more sudden and unexpected. I'm proud of our brands for their immediate responses and hard work to support disaster relief with for example Food Lion donating $3.8 million and over 1 million pounds of product and food to support impacted communities and to address recovery and rebuilding efforts. Albert in the Czech Republic sending six truckloads of humanitarian aid to be distributed through food banks and directly to crisis centers in the affected area. And Alfa Beta in Greece supporting local authorities, fire brigades and volunteer firefighters impacted by the wildfires in Northern Attica with products donations. Events like these remind us of the vital role our store play in the heart of our communities and the strength of those close relationships contribute significantly to our consistent success as a business. Speaking of success, I'm encouraged by the strong progress we are making strategically and operationally, managing a business with low top line inflation and high cost inflation is a challenging task and requires a lot of discipline. Our track record of keeping our own house in order is a big advantage and certainly paying off. But the best remedy to any challenging environment is to focus even harder on your core growth levers. For us, that is our Growth Model, and this is exactly what we are doing as part of our Growing Together strategy. So let me give you some color on that, and there are three areas I would like to focus on in my remarks today. The first area is the holistic approach we are taking by building seamless platforms to drive our omnichannel customer growth ambitions. We know for a fact, that an omnichannel shopper spends more with us in our most mature markets. And therefore, by infusing more life, and more content, and transforming our loyalty programs to lead with digital-first, we aim to drive omnichannel loyalty sales penetration to over 80% by 2028. Advancing and leveraging our online fulfilment capabilities and our loyalty programs play a super key role here. In third quarter, our group online sales increased 12.4%, excluding the divestment of FreshDirect, and this was driven by both new customer growth and strong customer retention across both regions. In the US, we continue to see strong growth in both our click-and-collect and third party marketplace channels. And over the past 12 months, we have increased our click-and-collect locations by over 70 new locations and we are seeing a positive impact of our transition to native apps as conversion rates increased by almost 10% in the past quarter. In addition, US customers are responding positively to our partnership with DoorDash; where we have seen 40% increase in the number of orders in the third quarter compared to the second quarter. In the Netherlands, Albert Heijn's online business, which has been one of the brand's growth drivers for many, many years, experienced a step up in growth resulting in continuing double-digit sales growth. To keep up with growing demand, Albert Heijn has increased customer accessibility through the strengthening of the logistics network and increased capacity at the Home Shop Centers. Our second mechanized Home Shop Center in Zwolle, in the Eastern part of the country, is hitting or ahead of all its milestones enabling the brand to supply groceries to even more customers in the northeast of the Netherlands. And with now 20% of our orders in the Netherlands being serviced in an automated way, I am excited that we have a strong recipe for success and can scale this part of our business in an efficient and sustainable way. Albert Heijn’s loyalty program also continues to go from strength to strength. Albert Heijn has been on a great digitalization journey over the last years. And customers have noticed, and we have seen the number of monthly active users at Albert Heijn increasing to 4.5 million. Just today, Albert Heijn announced their next innovations to help customers by launching multiple in-house developed GenAI based solutions in the app. And the most impressive one is a Digital GenAI assistant that helps customers answer the question, What’s for dinner tonight? While growth from online is certainly exciting, another key growth lever, which is proving very powerful for us is densifying and growing markets through a vibrant and modern store network. Investing more in our winning propositions, introducing customer-focused upgrades like expanded product assortments, unlocking more efficiency in store operations and shifting more capital to our most profitable and more obvious growth opportunities are important parts of our growth philosophy and how we deploy capital. In the US, Food Lion completed its 167-store remodelling program in the Raleigh-Durham market, bringing our latest omnichannel concept to one of the brands largest markets. This follows the Wilmington and Greenville markets, which were already launched during 2023. And constructions on our 152 stores in the Charlotte market have now started and this project will be completed in the course of 2025. Raleigh-Durham and Charlotte are the biggest markets for Food Lion. In Europe, year-to-date, we have invested in 261 new stores and remodels. Our modernized stores in Europe offer an expanded ecosystem of integrated products and services that align with customers' evolving preferences, as well as featuring upgraded facilities with new cooling and heating installations. A few highlights include that for example, Albert Heijn celebrated the one-year anniversary from the moment the first Jan Linders stores joined the Albert Heijn brand, with sales outperforming expectations. Alfa Beta continued to expand their franchise network with the acquisition of another six stores from a local chain. And last but certainly not least in Belgium, Delhaize has finalized the store transitions that were part of its future plan with the last store number 128 converting this week. I would like to thank all the affiliates and associates in Belgium for their support and hard work over the past 18 months. The entrepreneurial mindset of our affiliates combined with the expertise of associates is a strong combination. Customers vote with their feet. And the results so far from the transitions are very strong. Stores have been converted for a year or more have experienced double-digit growth in sales compared to pre-conversion and many of the converted stores are already reaching the performance levels initially forecasted for the second, third or even fourth year. This is also confirmed by the strong market share recovery with market shares for Delhaize recurring to well above pre-announcement levels. Finally on Page 12, the third aspect I would like to highlight today is the pace at which we are taking some of the medium- to longer-term opportunities. We are working to unlock with our new strategy. First good example is Stop & Shop. At Stop & Shop last weekend, we completed the closure of the 32 underperforming stores we previously announced in July. The team also did a very good job in limiting the non-recurring pre-tax financial impacts on our 2024 IFRS results by finding good solutions and some of which are with our other industry partners. With the project now behind us, the team under the leadership of Roger Wheeler is moving forward with our revitalization strategy including further stepping up price investments as previously outlined in May at our Strategy Day. For example, Stop & Shop recently announced a number of changes to improve its shopping experience starting with all the 25 stores in Rhode Island. These actions include lowering everyday regular prices on thousands of items across national and private brand products. On average, customers will benefit from reductions in pricing of 3500 products. This step forward in Rhode Island builds on top of price investments that we started earlier this year as we roll out store-wide price investment at selected stores in targeted markets combined with new in-store marketing concepts to bring these changes prominently to life. Although, we are in the first phase of our campaigns, customers' feedback is positive with volumes beginning to trend better at locations, where interventions have been made. Another good example of unlocking our medium long-term potential with Growing Together are the opportunities contained in our growth driver innovate for growth and efficiency. With our Growing Together plan, we committed to increasing the share of investments towards for example accelerating innovation capability, accelerated existing business models and developing new business models for B2C and B2B customers. Let me give some examples of some of the new things we launched in the quarter. Ahold Delhaize USA now offers enhanced in-store audio solutions for further powering – further empower consumer packaged goods to engage customers with personalized real-time messaging to create a multisensory in-store experience. We announced the expansion of our technology studio AD/01 in Romania with the opening of additional offices. And this is accompanied by the recruitment of another 30 employees as part of a team dedicated to innovation in web and mobile app development, e-commerce, data loyalty systems, promotions and core retail solutions. Bol has built its own tool for advisers on the platform putting them fully in control of everything around sponsored products. And this helps to solve customers -- to help to solve customer problems faster delivering more value for our advertisers, shoppers and to the organization. And lastly, Albert Heijn further developed their dynamic markdown technology to include non-perishable products. And this is a perfect example how our investments in technology and innovation can contribute to multiple aspects of our growth strategy. And with the technology we're able to strengthen our customer value proposition by providing customers’ access to quality products for a low price, support our commitment to reducing food waste and contribute to our annual save for our customer program giving us the ability to invest back into our business. While there is still plenty of hard work ahead to deliver the full potential of our strategy, 2024 is giving us a good start for the road ahead. With solid year-to-date underlying results, we will continue to keep a good pace of investments in the fourth quarter to drive momentum into the New Year. And at the same time, we will remain agile and will continue to be prudent as we balance our short-term goals with our long-term aspirations. As I said in my opening in our line of business, it's all about quality execution, quality sales, quality brands, quality customers, and of course, quality people. And this is what we believe -- this is what we believe in as a management team at Ahold Delhaize. And as a final note for today, I'd like to welcome Claude Sarrailh who joined our management Board as CEO of Europe and Indonesia on October 1. Claude brings a lot of energy and experience to the team as an exciting and interesting time for our European operations. With that over to you Jolanda to share more about the financials and outlook for the remainder of the year.
Jolanda Poots-Bijl: Well, thank you, Frans and indeed good morning to everyone. We are committed to sustainable value creation with our Growing Together strategy, which is rooted in our purpose fueled by our growth model and enabled by our strategic priorities. Frans shared a lot today about how we are building and creating opportunities to drive a quality top-line. And this will also benefit the quality bottom-line. Our third quarter performance gives a good indication of how we balance the varying needs of our businesses through the blend of growth and self-help opportunities to leverage our scale and drive synergies. Keeping our fingers firmly on the pulse of the customer is key to this. While inflation rates have stabilized in both the US and in Europe, value remains a key driver of customer behavior. Here we continue to be proactive on many fronts such as increasing price investments based on the needs and opportunities of our brands to win against their specific competitive sets, introducing more effective well-timed promotions that make it easier for our customers to maximize their wallet, transforming and leveraging our loyalty programs and updating our own brand offerings with new products redesigned packing and food innovations. And our efforts are paying off with the fourth consecutive quarter of positive volumes in Europe and positive volume trends beginning to materialize at several of our brands in the US. Let's have a look at the key underlying results for the quarter as shown on slide 17. Net sales grew 1% to €22 billion benefiting from positive comparable sales ex-gas and net store openings. The end of tobacco sales in the Netherlands and the divestment of FreshDirect impacted our net sales by 1.9 percentage points. Group online sales increased by 5.1% double-digit growth numbers at most of our brands were negatively impacted by 7.3 percentage points from the divestment of FreshDirect. Group underlying operating margin was 3.9%, a 10 basis points improvement compared to the last year driven by continued improvement in our European businesses and stable performance in the US partly offset by lower insurance results within the global support office due to the impact of lower interest rates. Diluted earnings per share were €0.62 up 7%. To-date we have bought back 27 million shares for a consideration of €761 million in line with our €1 billion annual plan. Slide 18 shows our results on an IFRS reported basis for Q3. IFRS results were €272 million lower than the underlying results, largely due to the costs associated with the closure of Stop & Shop stores as announced in July and the transition of stores as part of The Belgium Future plan. In July, we announced the first major step for the next phase of our Stop & Shop revitalization with the planned closure of underperforming stores. The impact to the third quarter performance was a $38 million reduction of sales as operations were ramped down as part of the closing process and a non-recurring pretax charge of $136 million, which is below the range we've originally estimated as explained by Frans. Moving on, on slide 19, you see comparable sales growth by region in and excluding weather calendar and other effects. This shows a positive net impact from calendar and weather of 0.5 percentage points in the US related to the timing of 4th of July and the net impact from hurricanes. In Europe there was around a 3.3 percentage point negative impact from tobacco. Looking at the regional performance. In the US net sales were €13.5 billion, down 0.1%. In addition to the calendar and weather impact, net sales were impacted by around 100 basis points from the divestment of FreshDirect, around 30 basis points from a decline in gasoline sales and around 25 basis points from a recall of Boar's Head deli products. We realized strong growth of our online sales of 15.3%, adjusted for the impact of FreshDirect and supported by Food Lion, Hannaford and The GIANT Company. Underlying operating margin in the US was 4.2%, up 10 basis points. For positive impact from margin mix including the divestment of FreshDirect was partially offset by higher labor costs, as well as increased price investments. We are also encouraged that our shrink mitigation methods like refining our supply intake process and the deployment of new technology in the stores are having a positive impact resulting in stable shrink levels during the quarter. As we look to the fourth quarter, we will continue to invest in our customer value proposition and build on the price investments we've already made. We expect that with these investments the margin profile for Q4 in the US will be at least at the level of Q3. This ensures that we are well-positioned with our US brands for the upcoming holiday period with many great holiday offerings of our local brands such as The GIANT Company's promotion or a family of six can serve a Thanksgiving dinner for under $20. In Europe, strong growth rates and market share gains in the Netherlands and Belgium have continued. Net sales were €8.5 billion, up 2.6%. Net sales were negatively impacted by the 3.3 percentage points from the end of tobacco sales at supermarkets in the Netherlands. While the conversion of our Ahold Delhaize stores to affiliates has an impact on net sales of around one percentage points. This was fully offset by an increase in sales at the converted stores from for example the additional sales coming from Sunday openings. Online sales in Europe increased by 10% with particularly strong double-digit growth at Albert Heijn. At bol, online sales were €0.7 billion, up 6.1%. Frans already outlined some of the big examples driving our strong online performance. And as you can see with further examples on slide 21, all of our brands are actively executing with a customer centric digital first mindset as they look to drive higher engagement and monthly active users to over 30 million by 2028. Finally on Europe. Underlying operating margin in Europe was 3.9%, up 50 basis points. This was mainly driven by the strong performance recovery in Belgium. Over the past 18 months, our European brands have done an excellent job rebuilding the margin profile in the region. This was a challenging task while being consulted with a very dynamic inflation environment. Our market share gains during this period also demonstrate that our customer-centric approach has paid off. We have a strong business in the region. And under Claude's leadership, we have a lot to look forward to in the coming years both from a growth and profitability perspective. On the short-term horizon, we look forward to the acquisition of Profi and expect an update in November from the Competition Authority. Moving to cash flow, our results in the quarter and year-to-date performance is consistent with our goals for the year. On Slide 22, Q3 free cash flow was €535 million which represents an increase of €23 million, compared to Q3 last year with a solid increase in operating cash flow, limiting the impact of timing differences in working capital compared to the prior year. Finally, let me spend a few moments on our healthy communities and planet priorities on Slide 23. You can see some of the initiatives we have been focused on during the quarter. Our brands continuously work on the transition to a healthier and more sustainable food system by making the necessary changes within our own operations and across the value chain to close collaboration with our suppliers. To this end, Ahold Delhaize USA has entered into various partnerships with supplies to support regenerative agriculture most recently with General Mills. This cooperation aims to decrease greenhouse gas emissions in our value chain the so called Scope 3 emissions and at the same time has benefits for nature. In the Netherlands in addition to our very successful plant-based range AH Terra at Albert Heijn is we're also increasing our ambitions in sales of organic products. Here the ambition is to grow sales from organic potatoes, vegetables and fruit by 25% by 2026. Albert Heijn already has the largest organic assortment of regular supermarkets in the Netherlands and the recent introduction of organic fresh packages will make shopping for these items even easier and more convenient. As 2024 draws to a close, I'm proud of how we are navigating this year, and that we are in a position to reiterate our guidance, while at the same time keeping up the base of investments to bring our Growing Together strategy to life. I'm also pleased to announce the continuation of our €1 billion annual share buyback program in 2025, which underscores our confidence in the strength of our business. Over the next months our priority is to deliver a strong holiday season to carry momentum into the New Year. And with that, I'd like to thank you, for your continued interest in our company. And operator, please open the lines for questions.
Operator: Thank you. [Operator Instructions] We will now go to our first question. One moment please. And your first question comes from the line of Robert Jan Vos from ABN-Amro ODDO BHF. Please go ahead.
Robert Jan Vos: Yes. Hi. Good morning all. Thanks for taking my question. I have two actually. First one, you said to expect that your U.S. EBIT margin in Q4 should be at least at the level of the reported 4.2% in Q3. Yeah, can you provide some direction on Europe as well? Momentum is very strong there. You've benefited from the Delhaize Belgium restructuring. So is it fair to say that the same applies for your EBIT margin in Europe? That's my first question. Second one is on volumes, positive volumes in Europe encouraging trends in the U.S. I think you earlier said to expect positive volumes for all the U.S. brands except Stop & Shop by end of 2024. My question is, are you on track? Are you still on track to achieve this for the next quarter? Those are my questions. Thank you.
Frans Muller: Yeah. Thank you very much, Robert Jan. Understandable questions. We have in the U.S. a profile of that the first half of the year is normally in higher margin profile than in the second half of the year. And it has to do with the holidays and promotions mainly in the second half of the year. So that's what we also see here. So we see a very normal rhythm. We are content with the third quarter development. And let's not forget in the third quarter, we kept investing in pricing and further customer value proposition, because we would like to get the right momentum to get into our Growing Together strategy as from 2025. So we're preparing ourselves for that runway. At least margin in Q4 on the level of the Q3 margin. That's what we also shared with you and we have all the confidence there to bring that margin with the momentum we see and also the measures we take. Of course, in total retail, it's not quite a challenge, but we work very hard on our save for our customer programs is a challenge at the moment in retail with a higher cost inflation, due to the fast of high inflation sales. And now at the moment a lower inflation CPIs of 1% to 2% in our European and US markets. But therefore, I'm even more confident, and I'm very proud of what the teams did in controlling those costs. In Europe, we see a trend which is positive on the margin development and we see that trend going forward and also in a positive sense there as well. So -- and that's what we always said before, right? We said, we feel that our US, and European businesses are businesses of 4%, which we also showed in our Growing Together strategy for the coming four years with an average 4%. Then volumes, yeah, we see positive volumes in Europe. I have nothing to add there in itself. But on the US, and there, I can give you some good news that in October, we saw positive volumes in the US. And that is to me an encouraging sign that a number of our investments in customer value proposition and in pricing starts to create momentum. So I'm encouraged by October that we have a good run-up to our growing strategy -- growing to get a strategy in 2025. So October was positive volumes in the total US business.
Operator: Thank you. We would now go to the next question. Your next question comes from the line of William Woods from Bernstein. Please go ahead.
William Woods: Hi. Good morning. Thanks for taking the questions. I suppose just on Stop & Shop obviously you've talked about bringing forward some of those price investments. How are you -- how is that progressing? Are you seeing any response to these investments in terms of the volume specifically within the stores that you've brought them into? And then the second question is, so over the last couple of weeks, I've visited many of your Food Lion stores, including some of your new omni-channel remodels in Raleigh. How have these remodels being received? And can you give any color or data on what you're seeing working in these stores? Thanks.
Frans Muller: William, thank you for those questions. Both are on the US. In Stop & Shop, we do a number of things and we did not start yesterday, right? We already made quite some investments in more than 119 stores in remodeling and brought those assets -- those stores up to par on a good investment and a good shopping experience. And on top of that, the team at Stop & Shop and also Roger willing to take this from here now even further is that, we invest in pricing that, we look at our promotions that we look at our communication and in-store communication to make also sure that with that price investment also the price perception is improving and that we make customers attentive to a better proposition. So we run the markets in Connecticut. We did the markets now in Rhode Island, as we mentioned before. And we see a positive response there in units, and also in frequency. So we see -- I'm careful there, but we see quite some light in the tunnel on the things we did. This is of course, very locally organized, local competition, local type of customer's, different type of markets where we operate. So at the moment, I would say, a good momentum but we have much more work to do to bring Stop & Shop back to its feet where we wanted to have and where it used to be. On Food Lion, we talked about the second market Raleigh-Durham finished and we're now working on the Charlotte market. As I said, Raleigh-Durham and Charlotte are the two biggest DMAs of Food Lion and we're seeing a very positive uplift there. We saw it already before. I mean with Food Lion, we have a brand people trust brand, which is completely priced right. And we see also that the changes we make there are very much appreciated by the communities. And Food Lion with more than 1,100 stores is of course, very close to the communities. It's the brand in the south, where people have a long good experience with. So also there Raleigh-Durham, and also Greenville and Charlotte coming up, we expect a very good uplift there in our sales numbers.
William Woods: Helpful. Thank you.
Operator: Thank you. Your question comes from the line of Sreedhar Mahamkali from UBS. Please go ahead.
Q – Sreedhar Mahamkali: Hi. Good morning. Thank you for taking my questions. A couple please, sticking with JP's instructions here. I guess, if you could just expand a little bit more, on Q4 margins. And is that actually is something we should keep in mind for 2025, not necessarily? I'm talking in depth about 2025 here, yet. But I guess the question is, shouldn't we be starting with the 4.5% clean margin last year Q4? Why are we being running anywhere near Q3? But also, I thought there was going to be a small provision release in Q4, whether or not that's happening if there's anything, you can help there. That will be super helpful. And the second one is, can you give us an idea of any cash costs we should be modeling both from Stop & Shop and The Belgium Future plan either in 2024 or 2025? Thank you.
Jolanda Poots-Bijl: Thank you for those questions, Jolanda here. On our Q4 margins for this year, we reiterate our group guidance that we will at least provide a 4% margin. And we are of course, encouraged by our results, thus far. And as we stated we expect a Q4 margin for the US, which is at least at the level of Q3. And we will keep on investing in prices also in the US, as we are ramping up for our growth strategy and are driving growth. That is as much guidance as we can give you at this point in time. Your cash question, on costs for Stop & Shop, for the guidance for this year the Stop & Shop conversion, Stop & Shop closure has no impact on the guidance given. So we reiterate that guidance. And The Belgium Future plan is near finalization now. So, that will not have any big cash consequences going forward as well.
Q – Sreedhar Mahamkali: Okay. Thank you. somebody might help on that, but thank you.
Operator: Thank you. Your Next comes from the line of Maxime Stranart from ING Bank. Please go ahead.
Q – Maxime Stranart: Hi. Good morning. Two questions on my end, if I may. First of all looking at the improvement in margin in Europe, could you provide some building blocks and improvement per country? And then secondly, looking at Europe as well, on the non-recurring expenses €100 million were aware that you guided some costs, but the amount looks a bit surprising to me. So if you could shed some light on this as well that will be very helpful. Thank you
Frans Muller: Yes. Thank you very much. On the European margin. The main effect of course we see here is, from our Belgium business, which is recovering after the intervention we made and by the end of this week, 128 stores are fully converted to the entrepreneurs. We have a very good run there. We have first of all, entrepreneurs who are very optimistic about what they see, what they can do with the brand. And we see very positive sales numbers there. We have a market share in Belgium now, which is higher than before the announcement of this operation. We have also entrepreneurs and our associates, who had a good transfer in the 128 to be affiliated stores. That's done now, by the end of the week. And we also see that entrepreneurs can add a lot of things to the communities and to the lower touch and feel of those stores. So, that's the main effect in the European margin development. But as I said before, we also expect that we will improve further on that margin in Europe. And there are a number of components across the brands with European initiatives if it's loyalty, if it's digital, if it's own brand, if it's supply chain, if it's the support of technology to reduce cost and better productivities. So, -- and that's what you can expect from us. And I think we -- but then I sound really like a broken record when I say that our European business is -- used to be always a 4%-plus business and it will be at least a 4% business also in the future. So, some more growth there on the margin in Europe.
Jolanda Poots-Bijl: I'll go into the second question Frans around the unusual as we call them €272 million in the quarter €136 million was related to Stop & Shop. And the majority of the remainder was related to the last phase of The Belgium Future plan and then there are some other smaller impacts there. But the two big topics driving completely in line with what we communicated earlier Stop & Shop and The Belgium Future plan. So, I hope that helps.
Operator: Thank you. Your next question comes from the line of Rob Joyce from BNP Paribas. Please go ahead.
Rob Joyce: Morning. Thanks for taking the questions. So, the first one maybe help shed some light on the 4Q margin in the U.S. Just in terms of the investments you've made in those 25 stores at Rhode Island, are you able to give us an idea how you think about the scale of those price investments? And will you be rolling out that to the whole network next year or is that a longer term project? Anything on that would be great. Second one, I appreciate it's a little early to be thinking about 2025, but as we look at the momentum of the business, you did reference going strong into 2025. Is there any reason to think we shouldn't see some EPS growth in 2025 as you see things from there? Thank you.
Frans Muller: Thank you, Rob. On the first question and Jolanda will take the second one. Rhode Island is the second market where we run our new pricing concepts and that is not just lowering a price that is including communication, including in-store, including own brands, including a number of elements in driving price perception. And in Rhode Island, we made price adjustments in 3,500 products and this is, of course, you always should see in context with the existing competition over there and we try to do this in a most effective and smart way of course. So, we see good uplifts there. It's too early day to call specific numbers I would say but we see that a number of things really get traction. And we have already announced that in our Growing Together plan for the coming four years that we will invest in total for the total $1 billion on price investments that is in our plans already foreseen in our guidance for the coming four years. And Stop & Shop will have an important part there. And that's what we also think we have to do. We would like to be priced right and priced better, but also working on the price perception at the same time. Because Stop & Shop in itself on locations on the role in the communities and the width of the assortment and the growing strength of own brand and fresh has a very good position in itself. But I think we lost a little bit of our strength over the last years and that's what we're getting back now. And one of those dimensions we invest in is price, but the first signs are positive.
Rob Joyce: So, clearly any idea -- sorry Jolanda and very quickly any idea how much of that $1 billion you've pulled into 2024?
Frans Muller: There is nothing in 2024 of that €1 billion because that €1 billion is for the strategy period 2025, 2028, so still to come. But we also have of course price investments. We have always price investments Rob in our business to maintain our competitiveness. But for Stop & Shop, we made a step up in 2024 and those numbers are already in our total guidance for the year, of course.
Rob Joyce: Thank you.
Jolanda Poots-Bijl: On your second question as you know in -- for the Growing Together period, we announced that we expect high single-digit growth for our EPS. With our current performance, we're stepping early into our Growing Together strategy. So that gives confidence to also reiterate that we do expect for 2025 that our earnings per share will grow.
Rob Joyce: Thank you.
Operator: Thank you. [Operator Instructions] We will now take our next question. And your next question comes from the line of Mathew Cummings from Barclays. Please go ahead.
Mathew Cummings: Thank you. Good morning, Frans and Jolanda. Just a quick one on the guidance. I suppose it's a bit unusual giving 4Q guidance for the US business. Do you expect to start giving a bit more short-term guidance on US margins over the next year, perhaps as price investments increase at Stop & Shop? Thank you.
Jolanda Poots-Bijl: Thank you for that question. That is a short answer. No, we do not expect to get more short-term guidance.
Frans Muller: We have a guidance for the total company for the total year 2024, and we're reiterating that guidance as you have seen. But we wanted to give a little bit more color on the US Q4 margins because apparently that has a lot of interest from your side.
Mathew Cummings: Thanks very much.
Operator: Thank you. Your next question comes from the line of Borja Olcese from JPMorgan. Please go ahead.
Borja Olcese: Hi. Morning. Thank you. My question was if your gross margin should not be declining as you invest in price, and if you could help me with the moving parts around that gross margin. And you didn't mention vendor allowance in this release or at least, I didn't see it. I guess, Belgium is a mix contributing to the lack of gross margin decline. But if you're heavily investing in price in the US, I would have expected the gross margin to contract. So maybe you can shed some color for me there please?
Jolanda Poots-Bijl: Thank you for the question. It's a very good question, but it's a little bit more complex than one element. The margin mix is an important element, if you look at our gross margins vendor allowances. But the thing I'm probably most proud of is Save For Our Customers program which also has a huge impact on our COGS. And year-to-date, we are not disclosing quarterly numbers on Save For Our customers. But we are quite substantially ahead in our Save For Our Customer delivery, which is not surprising because we saw that lowering top line inflation coming. We are burdened with a cost line inflation which is a lot higher. So we stepped up our efforts, I think already more than a year ago to make sure that we were ready to deliver stable margins. So Save For Our Customers is an important element in there. I don't know Frans with all your experience if you want to add to that?
Frans Muller: I think you're not going to give a guidance every quarter on Save For Our Customers. Just Borja thanks for the question. Gross margin is a complex composition. Jolanda already mentioned this and also the COGS component. But of course, we also have the vendor allowance the trade rates components as well, the margin mix in the assortment the role of own brands with normally in higher-margin, higher gross margin as such. So -- and if you look at our history of our company, over the last years, you saw a pretty stable gross margin despite all the ins and outs. And that's I think what we -- that is our business also. And the more attractive we get in growth, the more attractive we get in volume growth with our strong positions in Europe and in the US one and two positions in most of the markets that makes you also attractive for investments from our vendors. And that's also what we see at the moment that more and more vendors are investing in trade rates, investing in promotional support to drive growth and to drive volume on the East Coast in the US when we talk about the US. So, it's a composition of a number of factors. And yes, we have very experienced teams who do this already for many years. And that's what I'm also confident about that we have to work very hard for these kind of things, but these kind of things can be reasonably stable.
Borja Olcese: Thanks for the color. And yet your COGS are flat year-on-year in 3Q. I mean the nine months of the year thus far -- as far as I can see.
Frans Muller: Yes. We don't report on COGS levels as such. But our gross margins are relatively stable.
Jolanda Poots-Bijl: You end up with all the variations that we just discussed, so many pluses and minuses.
Frans Muller: COGS, there's only one component there. So, yes. Okay.
Borja Olcese: Okay. Thank you.
Operator: Thank you. [Operator Instructions] We will now go to the next question. And your next question is from Rob Joyce from BNP Paribas. Please go ahead.
Rob Joyce: Sorry just a quick actually one. I just noticed in the cash flow bridge, the input to leases was €100 million or so positive in the quarter. Just wondering, if you help us understand, what's happened to that cash lease expense? Thank you.
Jolanda Poots-Bijl: Thank you for that question. That is just -- it's not just, but it's FX and timing.
Rob Joyce: Okay. So we shouldn't be rolling that forward or anything is that going to sort of normalize back to a quarterly leased off to 450 or so by the year-end?
Jolanda Poots-Bijl: No, no, you should not.
Rob Joyce: Okay. Thank you.
Operator: Thank you. There are currently no questions. I will hand the call back for closing remarks.
JP O'Meara: So, ladies and gentlemen, thank you very much. If there's no further questions, then that completes our call for today. We will be out on the road at several of the conferences over the next few weeks. So happy to see you guys there. And if anything we haven't covered today, please feel free to give the IR team a call. Thank you very much for your attention.
Frans Muller: Thanks for your interest in the company. Have a good week and see many of you in the coming days.
Jolanda Poots-Bijl: Look forward. Thank you.
Frans Muller: Take care. Bye-bye.